Operator: I would like to welcome everyone to the EnPro Industries first quarter earnings release conference call. (Operator Instructions) I would now like to turn the call over to Mr. Don Washington, Director of Investor Relations.
Donald Washington: Good morning, everyone and welcome to EnPro Industries quarterly earnings call. In just a moment, Steve Macadam, our President and CEO and Bill Dries, our Senior Vice President and CFO will review the first quarter 2010 for you and then we’ll open the line for a question and answer session. Slides of the company conference call are available on our website and you can access the presentation through the webcast link on our internet home page at www.EnProindustries.com. Before Steve and Bill make their remarks, I’d like to remind you that you may hear statements during the course of this call that express the belief, expectation or intention as well as those that are not historical fact. These statements are forward-looking and involve a number of risks and uncertainties that may cause actual events and results to differ materially from such forward-looking statements. These risks and uncertainties are referenced in the Safe Harbor statement included in our press release and are described in more detail along with other risks and uncertainties in our filings with the SEC including the Form 10-K for the year ended December 31, 2009. We do not undertake to update any forward-looking statements made on this conference call to reflect any change in management’s expectations or any change in assumptions or circumstances, all of which such statements are based. The call is being webcast on our website and a reply of the call will also be available on the website. Before I turn the call over to Steve, I’d like to mention our investor day in New York on June 10. Invitations went out earlier this week. This will be a half-day event that will include presentations by our senior managers. More information about the agenda is in the presentation of the company’s call. We have a web based registration system you can access by following the RSVP link found in the presentation by selecting the events tab in our investor relations section of our website. We’ve got a very exciting and information day lined up for you, so we hope you’ll be able to join us, and if you’re interested in knowing more, you can contact me directly as well. As I mentioned, we’ll conclude the call with a question and answer session after Steve and Bill make their remarks. If you have questions that aren’t answered or if you have follow up questions, call me please at 704-731-1527. And now I’ll turn the call over to Steve.
Stephan Macadam: Good morning everyone and thanks for joining us. As you can see from our first quarter results, the momentum that we picked up at the end of 2009 is continuing in 2010. We finished last year with a nice sequential improvement in our performance and we’ve begun 2010 by reporting better year over year results for the first time since 2008. All of our businesses reported double digit increases in sales over the first quarter of 2009 and our segment profits and profit margins were each more than twice what they were a year ago. Quincy compressor is accounted for as a discontinued operation in this comparison, but to underscore the strength of our recovery, the sales and income numbers we reported this year without Quincy, are better than the numbers we reported last year with Quincy. A significant portion of the improvement in our profitability is the result of the cost we took out of our businesses last year as well as our ongoing enterprise excellence improvement initiatives. All of our operations benefited from these efforts, and we saw improved profits and higher margins across the board. GGB, our bearings business, showed the greatest year over year improvement and was solidly profitable after reporting a sizeable loss in the first quarter of last year. GGB has made a nice turnaround over the last 12 months. The business is automotive and industrial markets have strengthened significantly. As I’m sure you will recall, those markets were in a demand freefall a year ago as the global recession devastated GGB’s end use markets. The team at GGB completed a very important and effective restructuring in their French operations, which has allowed GGB to significantly and permanently reduce costs in a generally high cost country. The GGB facility that we built and opened in Slovakia back in 2004, will absorb much of the increased European volume going forward, which will position the business well from a cost perspective. GGB also recently realigned its organization from one that serves customers based on geography to one that serves customers based on global market segment, such a automotive, construction and agricultural equipment, renewal energy pumps and compressors and so forth. This is proving to be a very successful model in helping to drive growth in GGB, because it allows the business to tailor its offering and value proposition directly to these target segments. Bill will go into more details about GGB’s contribution to our results in the quarter, but each of those factors was important to an impressive turnaround. I’d like to cal your attention to a couple of notable events in the quarter. First, Fairbanks Morse Engine was awarded a large contract for the supply of emergency diesel generators to the proposed expansion of a nuclear power plant in South Texas. This is the first award of its kind in close to 30 years and is very exciting news because Fairbanks Morse has a good future opportunity in this market. The South Texas award follows two other previous nuclear comps for FME. Back in 2008, the business was selected by Ariba to supply emergency generators to nuclear plants that they planned to build in the United States, and last year, FME was awarded an emergency generator contract for a nuclear fuel reprocessing facility. However, the South Texas award is the first contract let on the actual construction of a next generation nuclear power facility. There are currently 22 proposed nuclear power projects under active review by the U.S. Nuclear Regulatory Commission. Currently, FME is the only engine manufacturer licensed by the NRC to meet the safety requirements in this application, and is well positioned to participate in the growing nuclear power market over the next decade. The other important event in the quarter was the closing of the Quincy Compressor sale on March 1. We received cash proceeds of $184 million at the close and we expect to receive an additional $6 million when the sale of Quincy’s China operation closes later this year. The sale helped increase our cash balance $254 million at the end of the quarter, although the balance does not reflect a tax payment of approximately $50 million that will be due on the sale sometime during the second quarter. With this amount of cash on hand, we have ample resources to support our strategic growth program including both on acquisitions and internal initiatives. We are currently reviewing several attractive opportunities in these areas. Now, I’ll turn the call over to Bill for his financial review.
William Dries: As Steve said, the first quarter was a good one and a significant improvement over the first quarter of 2009. Our adjusted earnings from continuing operations, which primarily excludes the special expenses, was $0.73 per share compared to $0.20 per share last year on the same basis. These earnings use a normalized tax rate for the quarter of about 32%. This is above last year’s rate of about 22%, but we anticipated a higher rate compared to 2009, which included first year benefits from our New York tax structure. On a GAAP basis, we reported net income in the quarter of almost $100 million or $4.83 per share. This reflects $93 million or $4.56 a share in income from discontinued operations related to Quincy. This is made up of a $92 million net of tax gain on the sale, and $1.5 million of net earnings for two months that we owned the business in 2010. The pretax gain on the sale was $147 million. Last year’s earnings from discontinued operations amounted to $0.10 a share. Sales from continuing operations were up 23% which breaks down to about 16% organic growth or seven points from the combination of foreign exchange and acquisition. Increased unit volumes were the largest contributor to sales growth. The increases were pretty well spread across most of our businesses and our another encouraging sign that our markets are recovering. Gross margins were 38.8% this quarter which was 4.1% higher than 2009 and 3% higher than the fourth quarter. This represents an improvement of more than 6% in gross margin since we reached the low point of 32% in the fourth quarter of 2008. Again, these figures exclude Quincy Compressor, which is now accounted for as discontinued operation. Our gross margins improved largely due to the positive volume leverage on our fixed costs at several operations, but most notably at GGB where gross margins doubled. As Steve mentioned, GGB has improved steadily since the second half of last year as we implement cost controls and organizational realignments there. SG&A spending increased by 10% in the first quarter of 2010, mostly due to foreign exchange and acquisitions. However, as a percentage of sales, SG&A decreased from 2009 by over three points as actual spending was up only marginally on organic sales growth of 16%, allowing us to leverage the additional volume. You can see how both our cost reduction programs and the increase in volume benefited our segment income, which improved substantially from the first quarter of last year. The combination of those two factors accounted for more than 70% of the improvement in segment income. Looking at our segment results in more detail, sales in the Sealing products segment were up 17%, about 11 points of which was organic. Sales in our businesses benefited from foreign exchange and acquisitions with a modest contribution from organic growth. Activity in the America’s increased while activity in Europe and the power generation markets was basically flat. At Stemco, sales improved significantly as core original equipment and aftermarket sales improved, and it benefited from its new brakes product line. This is the first significant increase in core product sales we’ve seen at Stemco in some time. You may recall, Stemco first began to encounter weakness in its markets in the second half of 2007, so the improvement in the first quarter is a very encouraging sign. Lower costs and higher volumes helped the segment’s EBITDA margin increase by 280 basis points. The Engineered product segment recorded a nice turnaround in the first quarter with sales up 32%. About 12 points came from acquisitions and foreign exchange. The segment’s EBITDA margin moved from a slight loss in 2009 to 14.6% this year. As Steve mentioned, GGB made the most significant contribution to the turnaround. GGB sales were up 40% with increased volumes across all product lines and in most markets. GGB also contributed significantly to the higher segment EBITDA, reflecting leverage on fixed costs and improved labor activity in the sales group. Some portion of GGB’s gains reflect inventory restocking by customers, so we don’t expect to sustain these rates of growth in the second quarter. Even so, we believe favorable year over year comparisons should continue for the balance of the year. At CPI, sales were basically flat with 2009 excluding foreign exchange and acquisitions. Natural gas storage remained high and refinery capacity utilization, while improving, remains below historical levels. However, CPI had solid booking levels in the first quarter and the trend is continuing, so the business’ markets appear to be turning in the right direction. In the Engine Product and Services segment, Fairbanks Morse continued to do well with sales up 25% and earnings up even more. Engine shipments were the same this year as the first quarter last year, but parts and service sales, which tended to be more profitable, were up 40%. The segment also benefited from productivity improvements and cost reductions. Segment EBITDA margins were also 28% or well ahead of 2009. As attractive as the first quarter was for Fairbanks Morse, I’ll remind you that it’s a lumpy business. The first quarter will contribute to a strong first half at FME, but orders for aftermarket parts have slowed somewhat, and we don’t expect activity levels and profitability to as strong in the second half. We generated over $11 million of free asbestos cash flow from operating activities in the quarter, and increase over 2009 despite significantly higher working capital levels, which led to the sharp upturn in sales volumes. The first quarter reflects a return to the normal seasonal pattern that we have experienced in years prior to 2009 where working capital builds in the first half and reverses in the second half. Capital spending was down compared to the first quarter of last year partially because of timing. For the full year, we expect it will increase over last year to the $30 million plus range. Net cash outflow for asbestos were higher than a year ago due to the timing of payments for both settlements and legal fees. We expect this to improve in the second quarter. The sale of Quincy non-operating cash flow was about $182 million, which gave us about $177 million of total cash flow and increased our cash balance to about $254 million at March 31. I’d like to repeat a couple of things on the Quincy sales. Total sales price was $190 million and about $6 million relates to the sale of the China operation, which we anticipate will close in the second quarter. We’ll also pay about $50 million of taxes on the gain sometime in the second quarter so our net total proceeds on the sale will be approximately $140 million. That will leave us with a very healthy cash balance to put to work in our acquisition program and in our businesses. The wraps up my review of a very good first quarter. So a lot of improvement in the quarter and many encouraging signs that give us confidence that the recovery in 2010 will continue on track. Now I’ll turn the call back to Steve for his concluding remarks.
Stephan Macadam: Thanks, Bill. As Bill said, the first quarter really gives us increased optimism and confidence for 2010. Our balance sheet positions us to pursue acquisitions that complement our core businesses both by expanding our geographic footprint and by broadening the products we offer in the markets we serve. Our cash balance gives us plenty of capacity to execute this strategy and we expect acquisition spending to pick up as the year goes along, but as always, we will be disciplined in our approach. We also expect capital spending to return to a higher, normal level this year now that our markets are recovering and we moved from a cash preservation to a more normal pace of capital investment. The increase in first quarter asbestos spending compared to the first quarter of 2009 is primarily timing related and should moderate in the second quarter of 2010. As we mentioned last quarter, recent filings against Garlock don’t yet reflect scientific evidence that the incidents of serious asbestos disease is in decline. Although the filing of these claims against Garlock has increased in each of the past three years, we’re confident they should begin to decline soon. Additionally, current costs of resolving claims against Garlock does not reflect any credit for the billions of dollars that are now paid to claimants each year from the more than a dozen 524G bankruptcy trusts established by the truly culpable former defendants. Our team of lawyers and experts is defending Garlock in the courtroom and managing claims and payments as well as possible in the current environment. We continue to evaluate Garlock’s strategy and alternatives to bring fairness and transparency to the asbestos claims resolution system as it relates to Garlock. Turning back to our markets, we see signs of sustainable strength in most markets, which we expect to result in higher levels of activity throughout 2010 compared to 2009. The normal seasonal pattern should continue to apply with levels of activity higher in the first half of the year, but year over year comparisons in 2009 will continue to be favorable. In summary, we had a good first quarter and we think we’ll continue to see good results through the rest of the year. Our markets have turned and we believe activity will continue at a healthy level throughout 2010. We’re committed to effectively executing our strategies for growth and we expect to benefit from them as the year progresses and as we take steps necessary to ensure a long and healthy future for EnPro. I’d like to add a final reminder of our investor day in New York City on Thursday, June 10. If you’re interested, please take a few minutes to complete the registration. We have an exciting agenda and very much hope to see you there. With that, we can open the lines for your questions.
Operator: (Operator Instructions) Your first question comes from Joseph Mondillo – Sidoti & Company.
Joseph Mondillo – Sidoti & Company: My first question has to do with the margins on the Sealing and Engineered Products side of the business. I was wondering if you could just expand on the margin expansion that you’re seeing. Is that mainly just due to the increased volume that you’re seeing or is there anything else involved in terms of product mix or pricing, etc.
Stephan Macadam: I think it’s mostly leveraged volume over the cost base including the impact of the costs that we took out last year, but there’s no notable change in mix or pricing other than one of our efforts that we talked about in the past, is a pricing initiative. It’s really a tactical pricing initiative, so we think we continue to make progress on that. But at the high level, it’s not actually really moved. It’s mostly volume.
Joseph Mondillo – Sidoti & Company: On the Engine Product side, obviously the margin spiked up considerable. Where do you think that comes down to in the second half of this year? Are we going to be at a level of that 18% that we were seeing in 2009 or what do you expect or what are you looking at on that side of the business.
Stephan Macadam: It’s tough to say. A lot of that is mix because we had a really good aftermarket volume pace in Q1, which as Bill mentioned in his remarks, we’ve actually, those get booked a month or two ahead of when we ship them and we’ve seen that moderate a little bit. So I’ll let Bill answer this in a second, but I would guess that on the year for the balance of the year, when you look at 2010 in total including blending in the first quarter, we’ll be back in the 18% to 20% range would be my sense.
William Dries: I think we’ll probably be a little lower. I think the mix of sales when you get more heavily weighted to engines in the second half of the year, so whereas we had the exact opposite phenomena in the first half, so I think we’ll see margins not going up in the second half at the level we’ll see in the first.
Joseph Mondillo – Sidoti & Company: How does that backlog look in that business?
William Dries: Exceptional. As Steve mentioned, we booked a major contract during the first quarter, that’s South Texas nuclear project. Our backlog I believe, I didn’t go back and check, but I believe the highest it’s been since we started off. It’s just shy of $350 million and Fairbanks Morse accounts for $250 million of that which is over $100 from the end of the year, both the total and the Fairbanks Morse numbers.
Joseph Mondillo – Sidoti & Company: Is most of that or the majority of that more heavily a year out?
Stephan Macadam: Yes, it is. We’ll see none of that in the second half of the year. It’s all next year and beyond. The South Texas project will ship in ’11 and ’12, so as we said in our remarks, we do see some softening in some of our parts orders and all of this work, these recent orders are 2011, 2012 and beyond, so we won’t see the immediate benefit of that in the second half of the year. There’s activity, most of which is Engineering activity and procurement of long lead time items and so forth, but in terms of when the engines actually ship, as we’ve said before, it’s always a minimum of 12 to 18 month lead time and many times, two or three years.
Joseph Mondillo – Sidoti & Company: In the past we’ve seen volume climb basically quarter to quarter. There’s been lumpiness I guess in the first and third. Should we see that seasonal, that same pattern that we’ve seen in the past in that business?
Stephan Macadam: No, there’s not a pattern. There’s not a seasonal pattern in FME. It’s lumpy quarter to quarter, and it’s driven, the lumpiness in sales is driven by how many new engines we actually ship. So we will ship overall less in the second half of the year. It’s very lumpy quarter to quarter. We shipped two engines in the first quarter. We will have significantly more in the second quarter. It will drop down again in the third, go up in the fourth. So it tends to be very lumpy. But it doesn’t follow the same quarter pattern from one year to the next. It’s really just dependant on scheduled shipments and that kind of thing, when the customer wants the engine delivered. If one year looks like the previous year, it’s just a random thing.
Joseph Mondillo – Sidoti & Company: I was wondering if you could go into a little more detail in terms of the acquisition pipeline. Has that been a little slower than your expectations or how is that looking for this year and next?
Stephan Macadam: If you’ll recall, we closed two transactions in the fourth quarter of last year including a fairly sizable investment for us on literally the last day of the year, last year. We didn’t close anything in the first quarter, but part of it was during the year of 2009, we kind of put a number of discussions on the back burner and as we said numerous times in a bunch of our calls, we were continuing our program, just not at the pace that we had seen in 2008 because we were still in kind of a cash preservation mode through the depths of the recession. We kind of reignited that pipeline if you will in the fourth quarter, and that has continued, and continued to grow. So we feel pretty good about the pipeline and the stuff coming down. As you know, our strategy has and continues to be to work on strategic bolt ons, and many of those are smaller in nature. So it’s going to continue to follow that same model as we go forward. But we’re very confident that activity in terms of the deals that we actually get closed, will pick up throughout the year.
Joseph Mondillo – Sidoti & Company: I was wondering what the currency effect was on EPS for the quarter.
William Dries: It was relatively insignificant. At the sales line, it was about three or four points of that growth and when you percolate that down to the bottom, it has a very insignificant effect.
Operator: You're next question comes from Gary Farber – C.L. King & Associates.
Gary Farber – C.L. King & Associates: Can you give us an update on trends on raw material and input costs and then your thoughts on Europe?
Stephan Macadam: Obviously we’re seeing the same pressure on raw material that are fairly common that you see. Year to date, or at least let’s first look from April last year. Copper is up over 50%. Steel is up over 50% from a year ago. There were bottoms, but for March, this are fairly flat, up a few percentages points. So we see it kind of leveling out a little bit. There’s still, in steel for instance, there’s still a number of blast furnaces that are off line and I think as some of those return to operation, the steel price will flatten out and we’ll have the kind of pressure. So we did not stop any of our work on supply chain efforts or pricing and so we feel we’re in a short cycle business. We feel very confident that we’ll be able to pass along increases as we incur them in our products. So I think it will put a little bit of pressure on us, but I’m pretty confident that over time, we’ll be able to maintain the same kind of gross margins. We are not impacted by raw material costs.
Gary Farber – C.L. King & Associates: And Europe, what’s you take?
Stephan Macadam: Europe even before this whole debt debacle over there, Europe was slow. I think all industrials are seeing the same kind of thing. The recovery was slower. It was certainly getting better, but just not at the pace that we’ve seen in North America or the rest of the world. So our markets I think are pretty much global markets. Products that we sell into over there, a lot of them in Germany find their way to the rest of the world. So who knows what kind of uncertainty this debt issue is going to impart on the European economy as a whole, but from what we hear from our customers, our order patterns etc., I would say we’re continuing to see recovery and growth. It’s just at a more modest pace than what we’re experiencing in other parts of the world.
Gary Farber – C.L. King & Associates: On your input costs, is natural gas much of an input cost to you and is the low price helping you at all.
Stephan Macadam: No, we’d like to see a high cost of gas because that helps our CPI business. From an input cost, it’s not really a significant factor.
Operator: You're next question comes from Kevin Bennett – Davenport & Co.
[Kevin Bennett – Davenport & Co.: Could you give some color on some of your major end markets? You said things are improving, but is there any way you can quantify that, I guess the trucking and auto would be the major ones.
Stephan Macadam: First of all, our Stemco trucking business is driven by two key drivers. One is trailer builds and the other is the ton-mile and when we came into the year, we follow FTR and other industry trackers that publish their forecast for trailer builds. So the forecast going into the year was about 90,000 new trailers and they have since raised that forecast to almost 98,000. So that’s another 10% increase on top of what it was. I think it was about 70,000 last year. So at the end of the year, they were predicting we go from 70 to 90 and now they’re predicting we’ll go from 70 last year to let’s call it 98. In ton-miles as well, the forecast for ton-miles is up another few percentage points. It’s encouraging to me because actually our January and February in Stemco from a sales and order pace standpoint were following the pattern of the second half of last year which was just kind of steady but very gradual increase in volume, and then all of a sudden in March, our order booking rate really took off, really spiked substantially, and that has continued through April, even up until now. So I think that’s actually a very good sign for us and a very good sign for the U.S. economy because that as you know, is our best leading indicator on overall economic health. That was the first business that we had go into decline, which was quite frankly, as early as the second half of 2007. 2008 was a very weak year sequentially for Stemco, and then of course 2009 was even weaker, particularly the first half. And so for us to see that strength in our orders in Stemco, is a very positive sign for EnPro and I think overall for the economy, because as you know, most of our Stemco business is after market related, so it’s really a direct function of the ton-miles that are moving over the road.
Kevin Bennett – Davenport & Co.: How about some of the industrial markets?
Stephan Macadam: Automotive, you asked about automotive. We’ve seen globally the automotive industry has returned. It’s very difficult to make a year over year comparison in the automotive because I believe that the first half of last year was artificially low and then you had the whole stupid cash for clunkers thing last fall that just distorted things as well. But I would say the automotive industry is now back on a solid footing. The order patterns that we’re seeing are I think sustainable. There’s solid inventory restocking going on we think, but on the other hand, it’s still going to be strong. The pace of increase may moderate a little bit, but I think it’s going to continue to move in the right direction. And in industrial markets in the U.S. are strong. Our Brazilian business for GGB is strong. Our gasket business for Garlock continues to be very healthy and the order input continues to improve over time. So I’m one of the more bullish people on the state of the recovery. It certainly has surprised us to the upside in Q1, and as we peel back the covers, as Bill and I look at it, I think it’s real. I don’t think there’s a lot of artificial stuff in there.
Kevin Bennett – Davenport & Co.: Everything seems to be headed in the right direction so what’s keeping you up at night? What are you worried about?
Stephan Macadam: It’s a challenge, it will be a challenge for us to redeploy the cash proceeds from Quincy. I don’t think it will be a challenge for us to do that over time. But as you know, the street’s expectations are typically much more near term than mine and ours, and I hope that everyone’s patient with us because we’re not going to do any stupid deals. We’re going to continue to do deals that make a lot of sense for our company strategically over the long haul. They’re incredibly accretive and value created on their own bottom, but because of the nature of what we’re doing, it takes a decent flow to make this happen over time. When we look, this is not all public stuff, but when you look at our track record over the last four or five years, and you look at our acquisition program in total and the money that we’ve invested in the sales and earnings that we’ve gotten as a result of it, it’s fantastic. So we know the program works, and I’m very confident we can deploy, and I’m very confident there’s a number of opportunities out there. They’re just not in really huge bites. So it’s going to take us 12 to 18 months to really move the needle on that front. But we’re not going to, I’m not going to allow us to get reactive in that to short-term expectations. We’re still going to be very disciplined and deploy this money effectively for the long term.
Kevin Bennett – Davenport & Co.: Can you break down what segments the restructuring charges were in?
William Dries: We had $.5 million and half of it was in Sealing products and half in Engineered products.
Operator: There are no further questions at this time.